Operator: Good day, and welcome to the Immersion Corporation First Quarter 2019 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Jennifer Jarman of The Blueshirt Group. Please go ahead.
Jennifer Jarman: Thank you, Brandon. Good afternoon, and thank you for joining us today on Immersion’s first quarter 2019 conference call. This call is also being broadcast live over the web and can be accessed from the Investor Relations section of the company’s website at www.immersion.com. With me on today’s call is Ramzi Haidamus, President and CEO; and Amie Peters, General Counsel and Interim CFO. During this call, we may make forward-looking statements, which may include projected financial results or operating metrics, business strategies, litigation, anticipated future products, anticipated market demand or opportunities and other forward-looking topics. These statements are subject to risks, uncertainties and assumptions. Accordingly, actual results could differ materially. For a listing of the risks that could cause this, please see our most recent Form 10-Q filed with the SEC, as well as the factors identified in the press release we issued today after market closed. Additionally, please note that during this call, we may discuss non-GAAP financial measures. For each non-GAAP financial measure discussed, our presentation of the most directly comparable GAAP financial measure and a reconciliation of the differences between the non-GAAP financial measure discussed and the most directly comparable GAAP financial measure is available in today’s press release. With that said, I will now turn the call over to Chief Executive Officer, Ramzi Haidamus. Ramzi?
Ramzi Haidamus: Thank you, Jennifer, and thanks, everyone, for joining us on today’s call or listening later on the webcast replay. Today marks a pivotal day for Immersion, as I’m pleased to announce two major deals that sets Immersion up well on the path of growth and profitability. First, we have settled all patent litigation cases against Samsung. This landmark deal for Immersion opens a new chapter with our partner, Samsung, as it gives them access to both our advanced haptics patent portfolio, as well as our software and technologies for mobile application. We look forward to engaging with Samsung over the course of this agreement to help bring advanced haptics into the mobile market. Over the last four years, the company has expended significant resources in litigation against Apple and Samsung to validate its position as a technological leader in haptics in the mobile space. With that goal achieved and behind us, we can close that chapter of our history and move forward. Second, today, we announced the signing of a definitive agreement with Sony Interactive Entertainment to license advanced haptics. This agreement is emblematic of Immersion’s new strategy to partner with its customers by offering Sony, not only access to Immersion’s rich, deep patent portfolio, but also to grant them access to Immersion’s haptics technology for gaming and VR controllers. This agreement and partnership will open the door not only to a productive relationship with Sony, but also to the gaming and VR ecosystem where Immersion has been the leader in haptics. Having just recently completed my 100th day at Immersion, I’m excited to take this opportunity to speak with you about our progress in 2019 and the future of Immersion and haptics. One of the things that has become clear to me in my initial 100 days is the versatility of Immersion’s business model. Haptic as a technology began with the prominence in gaming and medical markets moving into the mobile and automotive markets and now starting to proliferate in the IoT market. In most of these markets, Immersion has played an important role in seeding the market early with technology, but also protecting its investments through the filing and granting of patents. As a result, Immersion has been able to monetize its innovation effort through technology offerings and is in early stages of haptic adoption in each market and later as a patent licensor as technology matures. Immersion now is at an inflection point, where certain markets are poised for an introduction of new haptic technologies. It is our job to deliver these technologies to our partners and customers to seed the market and the development of the next phase of haptics. I will now provide an update on our momentum this quarter. In automotive, we continue to see the proliferation of touch interfaces in vehicles. We announced the license agreement with Alpine Electronics, enabling them to access Immersion’s patented touch feedback technology for in-vehicle touchscreens. Alpine is the latest in a long list of Tier 1 automotive manufacturers who have recognized that haptics in automotive touchscreens and touchpad is rapidly expanding from luxury to mainstream vehicles and Immersion’s touch feedback technology is central to its offering. In the IoT vertical, specifically the Smart Office, the incorporation of high-quality tactile feedback creates a more intuitive interface for printers, scanners and copiers. This quarter, we announced that Immersion technology is now enhancing Konica Minolta’s latest multi-functional printers and their bizhub product series targeted at the office environments. The key ingredient of all these experiences is the underlying actuator. This quarter, we continue to support the haptic ecosystem by signing an agreement with TDK Electronics, bringing haptics design and marketing to TDK’s piezo actuators for use in automotive, industrial and other markets. By collaborating with other members of the haptic ecosystem, we can more effectively bring the power of haptics to their end customers. This quarter demonstrated that haptics is becoming an essential part of the digital experience across multiple industries. As we evolve our business model to a healthier mix of patented technology licensing, technology engagements will allow us to make targeted investments in the markets that we believe are right for the introduction of haptics technology and have the potential for the highest ASPs. As we further develop our strategy, we will look to making additional partnership similar to that of Sony, where targeted investments can lead to the potential for significant growth for the company. Looking forward, we are laser-focused on pursuing and maintaining profitability. As such, we continue to focus on closing per unit agreements with our customers to build a recurring sustainable revenue stream, while at the same time identifying potential area to reduce cost, including a significant reduction to our planned litigation expenses. Apart from litigation, we’re are looking at other areas for cost reduction, such as our R&D footprint. Until recently, we have invested heavily in our San Jose office, which is one of the most expensive areas in the world to recruit high-quality talent. This quarter, we made the decision to shift some of our hiring and resource allocation towards growing our footprint and investment in our Montréal office, where world-class talent in haptics is available at lower-cost and employee turnover. Accordingly, we have made the decision to create a new role of Senior Vice President of R&D, who’ll be located in Montréal and report directly to me. Another potential area for cost reduction is our patent portfolio of over 3,500 worldwide patents. As with any mature company with a rich patent history, we have an opportunity to carefully prune our patent portfolio, reduce our patents maintenance cost and while remaining the leader in haptics ecosystem. This is a long-term project, which we will initiate this quarter and may yield results over the next two years. Next, I would like to share a few thoughts about our new three candidates for Board of Directors, as we approach our upcoming shareholder meeting. Sid Ganis comes to Immersion with a wealth of strategic marketing experience, a decade of public company directorship expertise and a deep rolodex in the area of media and virtual reality, where Immersion plans to invest and grow. Jonathan Visbal’s expertise in helping Silicon Valley companies hire public company executives and board members will be invaluable for Immersion as we rebuild the company. Sumit Agarwal, Silicon Valley experience in technology and mobile products will be very relevant, as Immersion looks to grow its mobile market penetration. I look forward to introducing our Board candidates at our upcoming shareholder meeting. I had a productive first 100 days of the company, getting to know the customers, shareholders, employees, the technology and the patents, as well as completing the Sony deal and settling the Samsung litigation. I continue to be impressed with the global Immersion team as evidenced by this quarter’s execution and I’m especially impressed with our R&D capability in Montréal. I’m looking forward to the next few quarters as we complete our executive hires, onboard a number of new directors and share with you a well articulated strategy for the company’s future. I will now turn the call over to Amie to discuss the company’s financial news.
Anne Marie Peters: Thanks, Ramzi. By now you should have seen our press release and Form 10-Q and have had a chance to look over our numbers. Immersion’s revenue for the first quarter were $5.1 million, down $80.3 million, or 94% from revenues of $85.4 million in the year ago period. This decrease is primarily related to a material fixed fee license agreement that we entered into in the first quarter of 2018. Revenues from royalties and licenses in the first quarter of 2019 included variable royalties based on shipping volumes and per-unit prices totaling $3.3 million and fixed payment license fees totaling $1.8 million. This compares to variable royalties of $9.6 million and fixed license fees of $75.8 million in the prior year period. Our revenue mix for each line of business typically fluctuates quarterly due to seasonality patterns. And for the first quarter of 2019, a breakdown by line of business as a percentage of total revenues was as follows: 41% from mobility, 33% from auto, 24% from gaming and 2% from medical. Looking at year-over-year trends, mobility revenues were down 97% from the first quarter, primarily due to the previously mentioned material fixed fee license agreement entered into in the first quarter of 2018. Automotive revenues were down 75%, primarily related to certain per-unit royalty agreements entered in last year’s first quarter that contain minimum royalty provisions for which we recognized the whole set of minimum royalties as revenue at the inception of such agreement. Gaming revenues were down 34% during the first quarter and medical revenues were up 75%, resulting from license renewal with a certain medical customer. Gross profit was $5.1 million, compared to gross profit of $85.4 million in the first quarter of 2018. Turning now to our first quarter’s operating expenses. Excluding cost of revenues, total GAAP operating expenses were $16.6 million in the first quarter of 2019, compared to $15.3 million in the year ago period. This increase was primarily driven by professional service expenses, along with higher legal costs, including roughly $875,000 for legal fees paid as a result of the mediation directed by the Seoul Regional Tax Office, or SRTO, which I will discuss in a bit. Looking at our net results, GAAP net loss for the first quarter of 2019 was $11 million, or $0.35 per share, compared to GAAP net income of $69.9 million, or $2.29 per diluted share in the first quarter of 2018. In addition to normal GAAP metrics, we use non-GAAP net loss and non-GAAP loss per share to track our business performance. We define non-GAAP net loss as GAAP net loss adjusted to reflect an expected long-term effective tax rate of 19%, less stock-based compensation. Non-GAAP net loss in the March 2019 quarter was $8.8 million, or $0.28 per share, compared to non-GAAP net income of $71.5 million, or $2.34 per diluted share in the same period last year. Turning to the balance sheet. On March 4, we received the determination from the Council of International Court of Arbitration, where we were directed to reimburse Samsung Electronics roughly $6.9 million, plus $875,000 of court fees for withholding taxes that Samsung had paid to the Korean Tax Authorities on Immersion’s behalf. We recorded that $6.9 million on our balance sheet as both a long-term prepaid asset and a current liability in accounts payable. Note that, we do not expect this determination to have any significant impact on our tax provision, as we expect to be fully reimbursed if we prevail on appeal with the Korea Administrative Court, which we expect will more likely than not be the case. Overall, our balance sheet remains strong with our cash portfolio, including cash and short-term investments at $117.6 million as of March 31, 2019, down $7.3 million from when exiting 2018. Taking into account both the Sony agreement, which we expect will have a greater impact starting in 2020 and the Samsung agreement for which we will begin recognizing recurring revenue this quarter, we have upwardly revised our expected 2019 revenue range to be between $36 million and $41 million and a bottom line non-GAAP net loss between $6 million and $13 million. From an OpEx standpoint, we now expect GAAP operating expenses between $55 million and $58 million. Included in this number is litigation expense of between $10 million and $12 million and non-cash stock-based compensation expense of between $6 million and $7 million for the year. Due to the full valuation we continue to carry, we are forecasting cash tax expense for the year to be approximately $400,000. We’d now like to open up the call to questions. Operator?
Operator: Thank you. [Operator Instructions] The first question will come from Tony Stoss with Craig-Hallum. Please go ahead with your question.
Anthony Stoss: Hi, everybody, and congrats on getting the Samsung deal done. Ramzi, is there a way that you’re going to have to or is it going to be difficult for you to audit Samsung, since it seems like it’s a per-unit basis? Also, was there any upfront payment that we might see in the June quarter in the cash balance? And then lastly, you talked about driving for a profitable Immersion. What’s your estimate on revenue for break-even once you made these further cost cut moves? What’s the general range of revenue for you guys to break-even?
Ramzi Haidamus: I don’t foresee any problems with – working with Samsung moving forward based on the structure of the deal and my history with Samsung. So I’m not that concerned. As far as – we’re not really putting out any revenue predictions beyond 2019 at this point. As far as back payment or settlement number, it is a modest amount. The architecture of this deal with Samsung has been focused on long-term value creation and the best way to do that is a quarterly – is basically a deal, where all royalties are recognized on a quarterly basis. So that is the bulk of the deal with Samsung. As far as profitability, we are focused – laser-sharp on this. It’s going to take both revenue and deals like Samsung and Sony, but more importantly focus on our cost basis and continue to look at our cost structure over the next 24 months. Some of it will take sometime to reduce, such as the patent portfolio. Even if we decide to cut today, it takes a little bit of while for the revenue – for the savings to take effect given the way the patent portfolio fees work out, as well as the prosecution works out. So it’s going to take a little bit of time, but we believe it is within line of sight.
Anthony Stoss: Maybe as a follow-up, I’d love to hear – I guess, any initial information on your continued auto progress? I know you did quite well there and you announced another deal during the quarter? And then my last question, I’ll jump back in queue is, now you have Samsung done, I know the Chinese handset OEMs you’ve been having discussions with them, do you think this will help speed up an agreement with any one of those? Thanks.
Ramzi Haidamus: The automotive market remains to be one of our largest growth and opportunities moving forward not only, because the market is nascent and starting to adopt haptics, but the ASPs, as you know, are quite high. So we continued to talk to large OEMs to Tier 1s, and not only on the patent licensing side, but we are ready to launch some of our reference designs and software, which will be accompanying the patent licensing team. So it will be a vertical sell over the next year or two. Now having said that, it is a slow-moving market. The cycle for automotive is slow, as you know. So we don’t foresee a big pop in the short-term, but we do see this as a sustained growth for us in the long-term in a market that’s going to yield a significant ROI. As far as the Chinese OEMs, I’m not sure I can speak directly to the effect of Samsung on China, but I can speak that the IC strategy is certainly one experiment for us to try to penetrate the Chinese OEM market. We do have Dongwoon and we have others lined up to be announced in – as soon as we sign them to try to get to the Chinese market using the IC strategy, where the IC is licensed with the intellectual property, but it’s still bit too early to tell today on how that’s going to be playing out.
Anthony Stoss: Thanks, Ramzi.
Anthony Stoss: Sure. Thanks.
Operator: Thank you for the question. The next question will come from Charlie Anderson with Dougherty & Company. Please go ahead with your question.
Charles Anderson: Yes. Thank you for taking my questions and my congrats on getting the deals done as well. Ramzi, some of your peers often talk about a royalty base based on the number of deals that they’ve signed, kind of roughly where their revenue run rate is. I wonder if you could speak to that. Obviously, there sounds like past sales are modest, but I imagine also there is the upside in here of units that haven’t shipped with your software yet. I wonder if you could maybe just speak to what is the revenue baseline here that we’re going to be talking about with these new deals in hand? And then sort of in addition to that, now that you have a lot – sort of a larger view of the market through this price discovery, do you have any updated views on the TAM for Immersion? And then I’ve got follow-up.
Anne Marie Peters: So, Charlie, I’ll take the royalty base question. We put out a range of 36 to 41, that’s revised upward from 24 to 30 from last February. But you can sort of think of that as the run rate going forward with the base business with Samsung overlaid on top of that for 2019. If you listen to my remarks, you would have heard that, we’re not expecting to see a large impact of the Sony agreement until 2020. So you sort of have to think about that going forward. TAM?
Ramzi Haidamus: As far as the TAM is concerned, we don’t have specific numbers as of yet. I would like to wait until we roll out our strategy, as I mentioned in the remarks, that – something that will happen over the next 90 days as I fill in the executive seats for the open positions and would get in some new board members to oversee the new strategy. So when I do roll out the new strategy, I will be rolling out some TAM numbers and potential penetration for Immersion. Suffice it to say that just a high-level at this point, I can tell you that when the automotive market – it’s very early days. We still see a significant growth ahead of us. I would say, the mobile penetration is, we’re at maturity with Samsung behind us except for China that continues to be a challenge for us. And one way to penetrate China could be the IC strategy we discussed and another way would be to bring in new technology that is – that would tip companies over from being pure patent licensor – licensees to technology and patents. And that’s where I have seen potential penetration be more successful than just with a pure patent license. That’s going to take time though in China and I don’t have much progress to report to you on today.
Charles Anderson: Great. And then for follow-up, I know we have a history of doing deals with Samsung here at Immersion. Ramzi, this is your first large deal with them and also with Sony. It seems you’ve got a few big ones now under your belt. I’m just kind of curios philosophically, what you are trying to achieve with these deals, maybe different than the approach that we’ve seen in the past, any color on that would be helpful? Thanks.
Ramzi Haidamus: Yes, for sure. I’ve done deals with both Sony and Samsung over the last two decades. So I’m quite familiar with the companies, as well as what makes sense for a licensing company. I can confidently say that both Sony and Samsung fit well within our best practices of per-unit loyalty or quarterly revenue recognition moving forward. That is the best of value that we can get for our shareholders in recognizing value, increasing over time and not be focused on deals where you have pops in single time – one-time recognition or back payments. Not only this, but we do believe that a technology partnerships with both companies can yield us great value, not only in the sense of getting our technologies in those products, but participate in the product road map discussions, which could then feed into our R&D efforts, which will then give values back to these companies. So looking at a long-term relationship in terms of joint technology partnership or bringing value in the form of technology and patent is what the focus here with both these companies, as well as other companies moving forward.
Charles Anderson: Great. Thanks so much.
Operator: Thank you. [Operator Instructions] The next question will come from Josh Nichols with B. Riley FBR. Please go ahead.
Josh Nichols: Yes, thanks for taking my question. I did want to ask, how should we think about the revenue cadences as far as Q2 versus the second-half, given that there was some payment for prior shipments for Samsung that I assume would be recognized entirely in 2Q?
Anne Marie Peters: Yes, Josh. The revenue for – well, so the Samsung agreement does have an undisclosed amount of back damages associated with it. We are still reviewing the revenue recognition under that portion of the agreement. But I believe that will result in a contra-expense rather than hit the revenue line. Going forward, I think, you can think about that we are still a little bit back-end loaded in terms of the revenue line – the royalty revenue line, as well as the license revenue line. We had indicated that in the last call and we are still forecasting that to be the case.
Josh Nichols: Thanks. And then as a follow-up, I did want to ask – I believe the company has used up all of its NOLs at this juncture. Is that correct marginally?
Anne Marie Peters: No, that is not correct.
Josh Nichols: Okay. So whenever you say that there’s only an anticipated cash tax of 400,000, the upward payment that you’re getting for the cash from Samsung is not going to be subject to a significant tax withholding?
Anne Marie Peters: No, it will not.
Josh Nichols: Okay. And then last question, I guess is good to hear that the company is being pretty proactive on the OpEx side and doing some pruning as well on the patent portfolio. Could you help frame a little bit for what you kind of maybe targeting as far as a run rate for OpEx or for G&A or amount of expenses that you think could be cut by, say, like the end of this year?
Anne Marie Peters: So we did mention on the call, we’re targeting between $55 million and $58 million for OpEx for the year. Still baked in that number is $10 million to $12 million in litigation expense, given that we would – did come up almost through trial with Samsung, so we had to anticipate that. And so we are expecting it to be down $2 million to $3 million from the prior year.
Josh Nichols: Great. Thank you.
Operator: Thank you. This concludes the question-and-answer session. I’ll now turn the call back to management for closing remarks.
Ramzi Haidamus: Thanks, operator, and thank you all for joining us on this call today. I hope you can tell by my comments, I’m very enthusiastic about the increasing importance of tactile feedback technology into several important markets and our excellent position within the goal of growing the company. I look forward to having the opportunity to meet with many of you in the near future and thanks, again. Bye.
Operator: Thank you. Ladies and gentlemen, this concludes today’s events. You may now disconnect your lines.